Operator: Good morning, ladies and gentlemen, and welcome to Lifetime Brands Fourth Quarter 2024 Earnings Conference Call. At this time, I would like to inform all participants that their lines will be in a listen-only mode. After the speakers' remarks, there will be a question and answer portion of the call. If you would like to ask a question during this time, please press star one on your telephone keypad. I would now like to introduce your host for today's conference, Rory Rumore. Ms. Rumore, you may begin.
Rory Rumore: Thank you. Good morning, and thank you for joining Lifetime Brands' fourth quarter 2024 earnings call. With us today from management are Rob Kay, Chief Executive Officer, and Larry Winoker, Chief Financial Officer. Before we begin the call, I would like to remind you that our remarks this morning may contain forward-looking statements that relate to the future performance of the company, and these statements are intended to qualify for the Safe Harbor protection from liability established by the Private Securities Litigation Reform Act. Any such statements are not guarantees of future performance, and factors that could influence our results are highlighted in our earnings release, and other factors are contained in our filings with the Securities and Exchange Commission. Such statements are based upon information available to the company as of the date hereof and are subject to change for future developments. Except as required by law, the company does not undertake any obligation to update such statements. Our remarks this morning and in our earnings release also contain non-GAAP financial measures within the meaning of Regulation G promulgated by the Securities and Exchange Commission. Included in such release is a reconciliation of these non-GAAP financial measures with the comparable financial measures calculated in accordance with GAAP. With that introduction, I'd like to turn the call over to Rob Kay. Please go ahead, Rob.
Rob Kay: Thank you. Good morning, everyone, and thank you for joining us today. We are pleased with our strong fourth quarter performance contributing to a solid report for the full year 2024. We delivered mid-single-digit sales growth in the fourth and expanded our gross margin by 130 basis points. Our fourth quarter net sales increased 6% to $215 million as compared to $203 million in the same period last year. Importantly, the positive performance in sales and gross margin demonstrates our team's strategic approach to retain and improve margin during the seasonal period that this year strongly favored promotion, designating Lifetime as a competitive performer within the sector. Margin strength was led by a significant improvement in the gross margin of our international business. As indicated by third-party data drawn from the consumer retail sector, and Lifetime's internal data analysis, which concluded that the first two months of the first quarter signaled soft consumer demand, which could quickly reverse in December driven by our e-commerce business. The holiday season revealed the consumer that flocked to the e-commerce channel where they could receive delivery of products in 24 to 48 hours. This bolstered our online sales to 24% of total sales in the fourth quarter and north of 20% for the full year 2024. While online sales undoubtedly led our growth in the fourth quarter, we also recognized sales growth and consistent strength in the club channel, a core pillar of our US business. The strength of sales contribution by these channels are signs of Lifetime's success in growing market share in the fourth quarter. Let me drill down to the specific categories and products that spurred e-commerce sales during the quarter. Our cutlery, tableware categories, and home care products outperformed year and internal forecasts and drove market share growth in the channel. Consolidated e-commerce sales increased 9% quarter over quarter and 4.2% to $137.7 million for the full year period. US e-commerce sales reported the second consecutive quarter of double-digit growth with an increase of 10% in the fourth quarter year over year. While we gained overall market share in the quarter, the prior decline in the mass channel was an offset to our core US business. Specific to our full year 2024 results, we are encouraged by the support in our top line, which met our expectations and improving gross margin. Despite the disorientation in the industry, stemming from various customers and channels combined with the shift to a more cautious consumer in response to the macro environment and headwinds from persistent inflation, we continue to believe in the resilience of our business model validated by our financial performance. In terms of the Dolly Parton program, a key growth driver in 2024, while Dollar General made the decision to delay the remaining program shipments to the first quarter of 2025, we are pleased to report the inventory is shipping on pace to recognize the incremental $4 million in sales from the dollar store in the first quarter of 2025. Further, similar to product performance last year, to date sell-through at Dollar General has been very strong. Overall, the successful launch of this program and Lifetime's entrance into this new channel has been a strategic win for our company in 2024. Additionally, our organic growth strategy was validated with the $7 million in incremental generated in 2024 from this one program. In 2025, we are prioritizing scale. Excuse me. We are prioritizing organic growth by leveraging the Dolly Parton brand as an additional anchor for Lifetime as we establish scale across our current retail channels, combined with innovating the brand into adjacent product categories. We have now shipped Dolly Parton products across four of our product categories. In fact, our ongoing dialogue with additional customers and channel partners has secured meaningful 2025 shipments, predicated on this successful adoption in 2024, and the continued market success of this program. Expect the 2024 program at Dollar General to double from the $7 million in sales shipped in 2024. Turning to our international segment, sales increased 7.2% from the comparable quarter in the prior year and demonstrated a second consecutive quarter of sales growth. This quarter's continued favorable sales performance was a result of traction in our new regional brand launches, particularly KitchenAid. We've continued to successfully execute our go-to-market strategy targeting national retailers and gaining market share in Europe by diversifying our channels and prioritizing our e-commerce presence. As a highlight of the consecutive quarter of positive performance, we leveraged the uptick in e-commerce with a relaunched higher margin product offering. Specifically, our international position in Amazon was a driver of meaningful margin improvement of 1,140 basis points to 38.6% in the fourth quarter from 27.2% in the prior year quarter, contributing to an improved margin of 300 basis points for the full year 2024. Our fourth quarter sales and gross margin improvement in our international business demonstrate that our turnaround strategy is operating as intended with near-term return to profitability a reasonable financial target. By returning the business to profitability, we have an opportunity to add an incremental $9 million in annual EBITDA. This should be highlighted as one of the key reasons behind our focus on restoring international. In a little bit, I will discuss Project Concorde, which we launched in January 2025 and is designated to accelerate our international business reaching profitability. Before I move on from international, I will provide brief commentary on some specifics. While we are encouraged by the performance of the international business as a whole, UK end markets remain soft as demand lagged in both Europe and Asia Pacific. Momentum in Europe gained with our strategic shift with recent placements at larger retailers such as Leclaire and Carrefour in France, Edeka in Germany, and Amarko in Denmark. We continue to expect a benefit in our financial performance during 2025 from these 2024 wins. That being said, we are closely monitoring consumer demand in these markets. In Asia Pacific, we continue to gain traction with the expansion of our listings in multiple brands and through expanded retailers, particularly in Australia. The main driver of this performance in 2024 was the finalization of the build-out of our own infrastructure and integration of our fully direct sales strategy in Asia Pacific. We are encouraged by the results during the first quarter with this new platform in place, with early top-line growth establishing a path to more profitable gross and contribution margin. Briefly touching on our foodservice business, 2024 was a year of positioning Lifetime as a larger competitor in the industry and establishing its credibility with the broader market participants. New listings, particularly in our expanded Makasa hospitality product offering, to include premium glassware brands Royal Leerdam and Onus, are expected to fuel sales growth. This new product line began shipping in late January and will be a core revenue contributor in our commercial food service division beginning in 2025. In 2025, we are forecasting fourfold growth in our hospitality business. In terms of our M&A pipeline, we continue to actively pursue a strong subset of opportunities and are evaluating targets primarily in new product adjacencies, food services, and the outdoor sector. In addition to targets which meet our qualification, that the business is immediately accretive to profitability. Valuations for companies in our pipeline have recently revealed attractive discounts relative to recent years, largely based on duration and an M&A environment that is. We will continue to pursue potential opportunities and perform rigorous due diligence to confirm a target's business suits our core criteria while maintaining our financial discipline. We will keep the market updated on all strategic M&A initiatives in a timely manner. Shifting to our recent developments, I'm excited to publicly discuss the changes within our US infrastructure. In January, we announced a strategic decision to relocate our East Coast distribution center from New Jersey to Maryland. We believe this to be a prudent and proactive operational efficiency. This is by avoiding cost increases if we remained in place. Our new locations are built to suit warehouse space with over one million square feet, an increase of 30% from our current New Jersey distribution center. I'd that we negotiated a 100% payment deferral of three years related to the 30% incremental space. Overall, we will realize operating leverage and efficiencies through the increased capacity, synergistic opportunities, and warehouse automation capabilities that will accommodate our long-term organic and inorganic growth initiatives. An important consideration in this relocation was the receipt of approximately $13 million in government subsidies, as the new facility will help spur the local economy in Maryland. In terms of capital expenditure, our total cost is $10 million with $5 million to $6 million anticipated in 2025 and the balance to be realized in 2026. There are constant puts and takes in undertaking infrastructure projects, and we are confident that this pivot will be a benefit to the company long term. We believe this is an operationally prudent decision. We will profit from cost avoidance as we enhance our competitive position with easy access to the Baltimore and Virginia ports and closer proximity to our large customer distribution centers, which is an opportunity to capture growth and market share. I'll spend a moment to comment on the recently implemented tariffs. Keep in mind that this is a fluid topic as the impact on the retail sector, the consumer, and the general economy. First and foremost, our team is well-versed with prior experience navigating an economy of newly implemented tariffs. Our approach to this matter has been developed over the past two years as we made the decision to work towards a reduced dependency on China-sourced products. Our actions since the dramatic and speedy implementation of tariffs were designed to mitigate the financial impact of these tariffs on any affected product, which gives the company valuable time to integrate more structural changes. These actions have insulated the company from any negative impact of tariffs in the first quarter of 2025. We are in the midst of taking further action, including price increases on affected products, to mitigate the tariff impacts. Importantly, we believe we've taken more action and earlier than many of our peers. Any carrier scenario promulgates risk and uncertainty across commerce and trade markets. It is a difficult environment to manage. We will continue to control what we can, and this includes various structural changes, including implementing price changes and to various geographies out of China. In 2024, our presence relative to the anticipated tariffs that took effect in 2025 required agility. More specifically, our solid balance sheet acts as a key component to ensure our agility and control in advance of fluctuations. Lastly, as announced in our earnings release, I'd like to briefly mention Project Concorde, which includes initiatives developed by management and launched in January 2025. Concord is our comprehensive turnaround plan aimed to propel growth and streamline the cost structure of our international operations. As indicated in my prior remarks, our focus is on developing initiatives that are aligned with streamlining Lifetime's operations for efficiency, prioritizing centralization, which will benefit our customers with improved speed to delivery of our inventory and positioning Lifetime's well-recognized brand portfolio to be the brands of choice. As we realize our efforts from prioritizing efficiencies, we expect to improve operating leverage and profitability measures. The financial performance that we expect to develop in our international operations as a result of Concorde is a combination of incremental sales growth and cost reduction will produce a breakeven level of profitability at an accelerated pace. Provide a near-term focus in the international business, we expect a $5 million improvement to operating profit in 2025 from full-year 2024 figures, with the timeline to achieve our anticipated financial performance targets by 2026. We will provide 2026 financial targets and outline the project's priorities and long-term objectives throughout the year. As we look ahead to 2025, the aggressive action taken to mitigate the impact on the implementation of a broad range of tariffs avoid business interruption, and control the tension of our market share positions, which has favorably in these challenging economic times. With process Concorde underway, and our new distribution center in the process of construction, and operational in 2026, we believe we have the right foundation in place to continue to grow market share and create value as we navigate recent macro and industry-specific disruptions. Our strong foundation and decisive actions take have continued to foster our resilient business model. Before I turn the call to Larry, I'd like to share that Lifetime will hold an investor day in November 2025. At the event, we will introduce key members of Lifetime's extended management team and business unit heads, outline our multi-unit strategic growth plan, and present a five-year financial outlook. We will provide additional details in the coming months. With that, I'll now turn the call over to Larry.
Larry Winoker: Thanks, Rob. As we report this morning, net income for the fourth quarter of 2024 was $8.9 million or $0.41 per diluted share versus $2.7 million or $0.13 per diluted share in the fourth quarter of 2023. Adjusted net income was $12 million for the fourth quarter of 2024, $0.55 per diluted share compared to $6.3 million or $0.29 per diluted share in 2023. Income from operations was $15.5 million in the fourth quarter of 2024 as compared to $15.7 million in the 2023 period. Adjusted income from operations for the fourth quarter of 2024 was $20.2 million compared to $19.4 million in the 2023 period. And adjusted EBITDA for the full year 2024 was $55.4 million. Adjusted net income, adjusted income from operations, and adjusted EBITDA are non-GAAP measures, which are reconciled to our GAAP financial measures in the earnings release. Following comments are for the fourth quarter of 2024, and 2023 unless stated otherwise. Consolidated sales increased by 6% to $215.2 million. US segment sales increased 5.8% to $196 million. As Rob commented, seasonal consumer demand accelerated in December. Fourth quarter sales growth was driven by continued execution of our online sales strategy, leading to additional market share gain in the e-commerce channel. Both product line sales increased notably cutlery and home decor. Was partially offset by kitchen tools products. International segment sales increased by 7.2% or $1.3 million and $800,000 in constant US dollars to $19.2 million. This increase came from e-commerce and UK nationals, partially offset by a decrease for UK independence. Gross margin increased to 37.7% from 36.4%. In the US segment, gross margin increased to 37.7% from 37.2%. Improvement was primarily due to favorable product mix in the tableware category. For international, gross margin increased to 38.5% from 27.2%, driven by customer and product mix, lower closeout volume, and lower inventory reserves. Consolidated distribution expense as a percent of warehouse shipments excluding non-recurring expenses, was 10% versus 9.7%. In the US, warehouse expenses increased from higher depreciation expense related to the exiting of the Robbinsville facility. Implementation expenses and startup inefficiencies, of a new warehouse management system and related ongoing software expense, and generally higher labor rates. These expenses were partially offset by lower freight out for both the US and international segments. Selling, general, and administrative expenses increased $4.5 million to $43.2 million. Of the increase, approximately $2.5 million related to higher intangible amortization expense for a trade name reclassification from indefinite to definite life. In addition, prior year reduction of contingent consideration allowances for bad debt, and startup costs for the new operation in Australia and New Zealand. Interest expense excluding a mark-to-market adjustment for swaps, was unchanged. The wind had averaged higher interest rates on our variable rate debt was offset by lower average borrowings. For the 2024 full year, the effective tax rate, excluding the write-off of our equity investment in GroupRev Esconia which there's no current benefit was 75.5%. This rate differs from the federal statutory rate primarily due to foreign losses which there's no tax benefit and local income taxes and certain other non-deductible expenses. Partially offset by a reduction of uncertain tax positions. Looking at our balance sheet, it continues to remain strong. At year-end liquidity was $111.7 million which is comprised of cash plus availability under our credit facility and receivable purchase agreement. For the full year, we generated free cash flow of $16.3 million which is netted by planned increase in inventory to help mitigate the risk of tariffs in 2025 as we move product sourcing out of China. And our adjusted EBITDA to net debt ratio at year-end was 3.5 times. This concludes our prepared comments. Operator, please open the line for questions. Thank you.
Operator: Now be conducting a question and answer session. Thank you. Our first question is from Anthony Lebiedzinski with Sidoti and Company. Please proceed with your question.
Anthony Lebiedzinski: Good morning, and thank you for taking the questions. So certainly great to see the better than expected sales in the fourth quarter. With sales accelerating in December. I know you talked about momentum in the e-commerce channel. Somewhat offset by some lower sales in the mass channel. So first, can you give us some maybe more detail about the mass channel softness that you saw? And then also as far as e-commerce, whether you've seen continued momentum from that in the first quarter so far in early 2025?
Rob Kay: Morning, Anthony. So yeah, we saw in a couple you know, we sell across all different channels, and we saw different performance in different channels. But we saw that the consumer were shopping later because they can get more delivery, and we've had success all throughout the year in terms of growing our online business. And that continued, and we do see that continuing. Again, differs month by month as we talked about. The first two months of the fourth quarter actually is slower than we thought. And slower than I think a lot of the industry prognosticators had said. And the fourth quarter real sorry. The third month, December, really came in strong and made it a good seasonal. Hornets. Mass, we as a company, lost a little share on the KitchenAid side. And that hurt our performance in the channel for the year. We're looking to rebound and I think that's a one-time movement. In terms of that loss. And sometimes, look, we lose, sometimes we win. Unfortunately, over the last five years, we've won a lot more than the loss, and we continue to try to make that an ongoing trend. That answer your question, Anthony?
Anthony Lebiedzinski: Yes. Yes. Yeah. Thanks for that. Okay. And then you know, with respect to the tariffs, can you give us an update on your exposure to China and where do you see that finishing up this year in 2025?
Rob Kay: Yeah. I mean, it's very fluid. Right? The whole tariff situation remains fluid, and we have to react. You know, we have continued to move to various geographies with the thought process among other things that we didn't want exposure in just one particular jug. So we're moving in many different places. Throughout the world. Look, we'd like to move to United States, but, you know, we're not prepared to sell a can opener for over $20 and so at this point not feasible. In terms of production in China today, you know, still the majority of what we produce. And we're looking to move the majority of what we produce out of China and we're hoping that we get the majority of it out within 2025. Gotcha.
Anthony Lebiedzinski: Okay. And then just moving on to the international segment. So know you guys did about $56 million in sales in 2024. Did you give an operating loss number for the segment and maybe I missed it. And also, you know, as far as the you know, that's concerned, it sounds like you expect to get to breakeven by 2026. Just wanted to confirm that.
Rob Kay: Yeah. So let Larry answer the specifics. But we do expect from what we've already achieved and as the things that we're working on to have a substantial improvement in that performance in 2025. We look at that business and we want to accelerate that, and that's the whole purpose of Project Concord. So we're looking to get to a breakeven run rate by the end of 2025. But you know, because of the timing and the timing of making some changes we will be doing, we won't get to a breakeven level of profit in 2025. But we will in 2026.
Larry Winoker: Yeah. Anthony, our EBITDA loss came in just under $10 million. So e but that and the
Rob Kay: Larry, do you have the EBIT number for 2024 for the Internet? EBIT would be
Larry Winoker: yeah, EBIT would be $10.5 million. Thank you very much. Alright. I'll pass it on to others, and best of luck to you guys.
Operator: Thank you. Our next question is from Brian McNamara with Canaccord Genuity. Please proceed with your question.
Brian McNamara: Congrats on the strong finish of the year. Thanks for taking the questions. So tariffs are obviously the topic that you're these days, and know you guys don't guide until May usually, but I'm curious if we can kinda drill down on your tariff exposure there. I think you kind of gave some broad strokes terms of being able to move production in the life, but I think we've seen from investors is they like kinda clear quantification of the relevant exposures if you if you'd be willing to provide.
Rob Kay: So if you look at the global tariff on steel, the exposure isn't very strong, and it's they're not related specifically to China. But it doesn't impact us that much. If you look at the other exposures, it's a function of exclusions that are eliminated, you know, related to China. I'm sorry. And then the ten and ten are the incremental 20%. So, you know, if we look at 75% of our production being made in China, we're looking to reduce that hopefully by the end of this year to a much lower dependence. So taking over 50% of it outside of China. And really our focus is on our high volume runners. So the stuff that we would leave behind would be much slower and less impact to the total revenue that we shipped. Great. And then you know, a good strong start end of the year. So your sales kind of ended the year kind of flattish. Is it a reasonable expectation to expect a return to growth this year on the top line? And if so, what kind of drives that growth?
Rob Kay: So, yeah, there's a lot of things that we talked about rolling over from what continues to that will continue to experience 2025. So disregarding, you know, disruptions to the macro environment and disregarding is gonna impact just the general economy going into a recession. Right? The momentum will continue on the food service business. And we'll see as we talked about portfolio growth from a smaller base. In that business. The international business will continue to see growth. And the, you know, Dolly Parton program, you know, we'll see growth over that. In terms of the total business is, you know, as our practice, will give guidance with our Q1 release.
Brian McNamara: Great. And then we saw the Dolly Parton and Dollar General press release on I think it was out of Monday. It said product available in their stores beginning March 1, then a summer collection in May, then an expected holiday collection. Is that March 1 timing in line with what you previously expected? And are these summer and holiday collections incremental to what you guys previously communicated, or was that all along the part of the plan?
Rob Kay: Well, it continues to grow, Brian. So said another way, when we did our initial budget last year, Dolly Parton, it was lower than what we expect to do and what we you know, we flex every month. Right? What we know. So as we work with them, it continues to expand. And as I said, the good news is and it's put in they put in these tables if you've ever been to Dollar General. So as opposed to on shelf, and that's what the Dolly program does, and they've been putting in more. And the second round that launched this quarter again, had sales velocity better than everyone had hoped. And in line with last year, which is very, very strong, which continues to see traction there. We are also looking to roll the Dolly and will be rolling that out to other retailers and have commitments to do that. But also with Dollar General just with themselves, we are in discussions. That would be all incremental. That's not something we have in our plan or forecast at this point.
Brian McNamara: Great. And then one more on the top line. You know, sales end of the year flattish. Can you give, like, you guys own a bunch of brands. Can you give us an idea of what brands kind of outperform, what which ones grew last year, and maybe which ones are lagging and what maybe for the ones that are lagging, like, how do you kinda get those growing again?
Rob Kay: Yeah. I'm tricky one. It's so many different brands across categories. But, you know, it's you look at if Barbara grew, and Farberware's growth was driven a lot, not a lot, but was driven was bolstered, I should say, by the growth in cutlery where we had tremendous success in the business, gained a lot of market share. Right? And if you look at just cutlery in general, you know, we grew substantially on a year-over-year basis. You know, but what we did see great growth in, Makasa and Farberware. We saw a decline a little bit in Taylor and False Graph. False Graph for us isn't an invest area. So, you know, as we've, you know, looked at the portfolio over the last several years and discussed a lot about repositioning, that's a good example of somewhere where we haven't put emphasis and we put more emphasis in Makasa. That's why you're seeing growth in one versus the other. You know, Taylor in general just kind of hit a wall we've a lot of growth over a few years. One thing though that we're launching this year two things, I should say. Which we think will hopefully reverse that trend is a more smart, sweet, branded, excuse me, family of products for our Taylor family of offerings, and also a new offering in Taylor that allow us to get more market space because it's a slightly different branded. So it's by Taylor to allow us to be sold in different places, particularly of our major retailers. And, you know, that will propel growth within Taylor. We also Rabbit declined, but Rabbit declined basically off of a banner year. And in, you know, one particular in the club channel, you know, they took a little bit of a breather. That's it was very well there. So that will rebound. So hopefully, that gives you some flavor of the different brands.
Brian McNamara: Yeah. Very helpful. Thanks a lot, guys. Best of luck this year.
Rory Rumore: Thank you. Bye.
Operator: Thank you. Our next question is from Christina Xu with DA Davidson. Please proceed with your question.
Christina Xu: Hi. This is Christina on for Linda Bolton Weiser. So, just a follow-up on the tariff situation. So, I think you mentioned before that the biggest SKU volume product is now moved to Cambodia, and Trump was saying to apply reciprocal tariffs on countries that impose tariffs on the US products. So I was wondering if you could remind do you have any idea if Cambodia is currently currently has any kind of, like, tariff imposed on the US products?
Rob Kay: Yeah. It does not. You know? But look, there's no visibility. It may change tomorrow. It may change completely differently the day after. There could be universal tariffs. There's a lot of moving parts, and we're just gonna have to react and manage. And we've moved to multiple. You know, we have we are moving product to many geographies, and Cambodia being one. It'll ramp up, and, you know, we'll have to react to any changes to the tariff regime and the trade wars as they unfold.
Christina Xu: Okay. So and I think Mexico was recently tariffed. Like, can you remind us your exposure over there?
Rob Kay: Well, you know, we had bought a Maquiladora facility in Mexico that we have now ramped up to full production. So we're starting to get the benefit of that. With a 25% tariff on China, there's a noticeable benefit for the maximum facility. If they put 25% tariffs on product coming out of Mexico, that benefit goes away. But now tariffs on related products from China are up to 45% and even 70% depending upon the item. So there's still benefits on the Mexico facility versus what we paid today.
Christina Xu: Okay. And I think before it was you guys were saying the Dolly Parton shipping could exceed so exceed $10 million even with the with part of the shipments shipping to first quarter 2025. For 2024, I think there were $7 million shipped. So can you unpack a little to as to, like, why, that the shortage?
Rob Kay: Yeah. Sure. So yeah, we expected around $10 million, but Dollar General made a decision to because of issues they were having to push some of that was that was scheduled to ship in over the third and fourth quarters. Push that into the first quarter, which we're now shipping. And that was $4 million. So that $4 million we're capturing, just we didn't capture it last year. So that would have brought our initial $10 million down to $6 million, and we shipped $7 million just because the business performed better. And the reason then we had anticipated, and that was the difference between the $6 million and $7 million. So it actually went up and or that was off of our initial belief is just something that moved into the first quarter. Of course, the $7 million, as you know, 100% incremental because it was all new business.
Christina Xu: Okay. And I think you mentioned in the call that you observed weaker consumer sentiment. So I was just wondering, like, how much of a pricing power do you think that you have, if there are gonna be like, additional tariffs on your products?
Rob Kay: So the magnitude of the tariffs in our view, make it mandatory that everyone you can't not pass it through. So what you're gonna see is and if you look at the major retailers, they've already said, look. Expect higher prices. It's just a reality unless the tariffs get reversed. So it's something that will absolutely happen, that price will get passed through, and then price is gonna be raised on shelf. Bigger question is, you know, in a consumer-driven economy, what does that do to the economy? But, you know, we will be passing through prices, you know, that'll take time. Which is why we built a buffer, but it's because we wanted to protect ourselves against the time. Because you just don't you know, when you work with the retail environment, it's just like we don't call them up and say, hey, prices are, you know, up 10%. We you know, it takes time to implement that, and that'll be over the next couple of months.
Christina Xu: Okay. Thank you.
Operator: Thank you. This concludes our question and answer session.